Operator: Good morning. My name is Craig, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Regis Corporation Fourth Quarter 2012 Conference Call. [Operator Instructions] If anyone has not received a copy of today's press release, please call Regis Corporation at (952) 806-2154 and a copy will be faxed to you immediately.
 If you wish to access the replay for this call, you may do so by dialing 1 (800) 406-7325, using the access code of 4560118 followed by the pound sign. The replay will be available 60 minutes after the conclusion of today's call. We would like to remind you that to the extent the company's statements or comments this morning represent forward-looking statements, I refer you to the risk factors and other cautionary factors in today's news release, as well as the company's SEC filings. Reconciliation to non-GAAP financial measures mentioned in the following presentation, as well as others, can be found on their website at www.regiscorp.com.
 With us today are Dan Hanrahan, Chief Executive Officer; Eric Bakken, Executive Vice President; and Mark Fosland, Senior Vice President of Finance. After management has completed its review of the quarter, we will open the call for questions. [Operator Instructions] I would now like to turn the call over to Mark Fosland for his comments. Mark, you may now begin. 
Mark Fosland: All right. Thank you, Craig, and good morning, everyone, and welcome to our fiscal 2012 fourth quarter conference call. Joining me today are Eric Bakken, our Executive Vice President; and also joining us is our new President and Chief Executive Officer, Dan Hanrahan. Brent Moen, our CFO is also with us today. Our order today is this: first, Dan will share some of his perspective as he joined Regis; then, Eric will provide an operational overview of the quarter; I will follow with a rundown of our quarterly results; and then Dan will make a few concluding remarks before we open it up to Q&A. I'll now turn the call over to Dan. 
Daniel Hanrahan: Thank you, Mark. Good morning, everyone, and thank you for joining us. Let me begin by saying that I'm very excited to be here and to work with the Regis team, including Eric, who I'd like to thank for doing such a terrific job leading Regis over the past few months.
 I want to take a few moments to share some of my background with you, as well as some of the initial thoughts I have about the path ahead.
 I come from consumer-oriented companies that share many similarities with Regis. I started my career in sales and marketing and have been very focused on Regis' marketing approach as a result. I can appreciate the challenge of trying to market 50 brands. We need to focus our marketing in order to reach the consumer in a more impactful way.
 I also have considerable product development experience and worked at Reebok for years developing athletic footwear and apparel. I understand the fashion side of our business and know that fashion trends change. We need to be fashion forward in some of our business and a quick fashion follower in the majority of our businesses.
 On the operations front, I'm accustomed to managing remote locations with a large deployed employee base. My Celebrity Cruises' background taught me the importance of building the right store, if you will. I understand at Regis, we need to create and maintain the right environment for our consumers. In terms of my financial values, I'm extremely disciplined, and I'm bringing that discipline to Regis. Every penny will count, all expenses, whether capital or on the P&L, will be justified. Finally, I have depth in customer service and it's a true passion of mine. The last 13 years in the hospitality business has taught me how important it is to treat a guest the right way. In today's world, customer service is an opportunity.
 Here at Regis, I believe it can be a differentiator. We have the opportunity to set ourselves apart in a meaningful way. I plan to inject this mindset into our culture.
 It's good to be joining an organization which has a focus on change and improvement, from reconciling our approach to our brands and marketing to enhancing our operations, to rationalizing our business composition and improving our in-salons experience. We have a strong base in which to build. However, we have a lot of work to do and are wasting no time getting after it. Thank you, and I'll now pass the call over to Eric. 
Eric Bakken: Thanks, Dan, and good morning, everyone. Before I begin, I would like to formally welcome Dan to Regis. In the short period of time that Dan has been with us, he has already had a positive impact on the entire organization. He brings experience and discipline to Regis. He will help us immensely as we move forward.
 Fiscal 2012 was a challenging year, but we are committed to improve performance in fiscal 2013. Today, we reported fourth quarter operational earnings of $0.40 per share, up $0.03 year-over-year. The results also reflect the nonoperational charge, most of which was noncash and was primarily related to 2 items. One was an impairment charge in our Regis Salon division and the other, a write-down of our investment in Empire Education. Today's press release provides additional detail regarding these one-off items. For the year, operational EPS came in at $1.30, and operational EBITDA came in just above $220 million, which exceeded the high end of our guidance range we updated in January. Mark will go into our fourth quarter performance in greater detail in a few moments. 
 As you know, we've developed and started to implement a sound strategy of transformation. This strategy includes simplifying our operating model and leveraging our scale, developing a performance-driven culture focusing on winning in all of our markets, attracting and retaining the best stylists, and last but not least, improving the guest experience. And Dan will be putting his own stamp on our strategy as we move forward.
 As you may recall, when we discussed our transformation program that we refer to as Regis Reignited last quarter, I outlined our market research findings. Not surprisingly, acquiring 50-plus brands and maintaining both our identity and operating models was diluting our efforts, as Dan noted. 
 Many of our brands compete with each other. We need to concentrate on our strengths. Focused brand presence and a louder voice to leverage our scale as the largest salon operator in the world will differentiate Regis.
 Once the transformation is complete, we will be in position to exceed our guests expectations. We expect guest retention to increase and referrals to grow, causing our business to thrive again. To remind you, we are now focusing our business on individual consumer-based segments. The consolidation of brands into these segments will provide a distinct guest experience, which is exactly what we are seeking. We will leverage our scale by directing our marketing dollars into individual consumer-based segments, not 50 brands. It will keep us from competing against ourselves and allow us to do what we do best.
 We also have our niche brands, which include Roosters, Pro-Cuts and Cool Cuts 4 Kids. These are all important to our future. Roosters and Pro-Cuts, in particular, are focusing on our male guests and they are 2 of our fastest-growing brands. In June, we aligned all of our brands into each of the consumer segments. And we also completed a field restructuring around the new segments.
 Additionally, our newly restructured field organization is moving quickly to improve our performance with support from the newly formed corporate operations and human resources groups.
 Corporate operations provides a centralized support team that create, implement and maintain business processes. They are the liaison between our field and home office employees. When we looked at salon operations in the past, we never had the consistency that this team will provide. They will help us create standardized processes across all segments, as well as provide consistent, effective communication throughout the entire organization. We're really excited about the value this team is already adding to Regis.
 This brings us to HR. In our 90 years, we have never had an HR department. Our recently formed HR group will help us immensely with our staffing efforts and will partner with our operations group to develop a performance-based culture. It will also ensure that employees have access to development opportunities to further enhance their skills.
 Our field restructuring efforts were executed in a cost-effective manner. The additional corporate operations and HR staff will be funded by increasing the span of control of our regional managers and district leaders.
 We need to further develop a performance-driven culture and, as part of the field restructuring, we've created a compensation package for field leaders that includes a performance-based component. Those who perform will be rewarded and recognized. 
 Incidentally, we just concluded a productive and successful leadership meeting in Las Vegas, where we gathered our entire field and home office leadership teams. We were able to work together on the elements of our strategy and refine a detailed playbook that provides our field leaders with structure and focus to effectively make a difference in our salons.
 We were also able to introduce Dan to the group and he was able to meet and hear from all of them during his first days on the job. The entire group left the meeting excited and engaged and this will help us as we move forward. Lastly, I would like to update you on our CRM program and our POS system rollout and what we've been doing to improve these areas since the last quarter.
 We now have our CRM program in 6,300 locations, adding almost 200 locations in the quarter. And we will have all of our salons in CRM by the end of the calendar year. This will enhance the guest experience. In addition, we've added a new Senior Vice President of Marketing, Heather Passi [ph]. We've made significant progress in the quarter and with the addition of Heather, we have the team in place to develop and execute our marketing and CRM programs. 
 Our new POS system, Shortcuts, is our #1 IT priority. To help achieve our goals, we've made several personnel changes and have recently added a new Chief Information Officer, Doug Reynolds, to our management team. I'm confident that under Doug's leadership, we will make important progress in the first half of the fiscal year. As I said last quarter, I'm extremely excited about our transformational strategies and I'm confident in their effectiveness to reignite our business and position us to deliver excellent experiences for our guests and tremendous value for our shareholders. 
 Before I turn the call over to Mark, I would like to quickly address our recent Hair Club and Provalliance announcements. We're very satisfied with the terms of the sale agreement with both Hair Club and Provalliance. We expect Hair Club will close prior to the end of the calendar year and we continue to expect Provalliance to close prior to September 30. Once the transactions are completed, we will provide you with more details on our plans for use of the cash proceeds. I'll now turn the call over to Mark. 
Mark Fosland: Thank you, Eric. Today, I will begin by discussing our consolidated financial and operating performance, followed by a review of the major items impacting each of our business segments. For the fourth quarter, Regis recorded a net loss of $1.11 per share. As Eric mentioned, this included net after-tax nonoperational items of $89 million or $1.51 per share. Those items are primarily related to the goodwill impairment in our Regis Salon divisions and the write-down of our equity investment in Empire Education and Cosmetology schools. Excluding nonoperational items, our fourth quarter operational earnings improved by $0.03 per share over last year's fourth quarter, coming in at $0.40 per share.
 With fourth quarter same-store sales declining 3%, we would've expected our operational earnings to be about $0.29 per share. Our operational earnings per share of $0.40 are about $0.11 higher per share than our sales would indicate. Lower-than-planned income tax expense contributed about $0.08 of the benefit and the remainder of the upside relates to our continued focus on expense control.
 In addition, we have included in today's press release, as well as on our corporate website, a concise reconciliation that bridges our reported results to our operational earnings in both the current year and prior year fourth quarters.
 Moving to our fourth quarter operating results in our business segments, my comments this morning will focus on our operational performance. First, our largest segment, our North American salons. Our total North American Salon revenue has represented 86% of our consolidated fourth quarter revenue, decreased 4.7% during the quarter to $488 million, reflects a total same-store sales decline of 330 basis points and lower store counts. The store counts decreased by 159 locations over last year.
 During the quarter, we built 60 company-owned salons and closed or relocated 104 others. Our franchisees built 26 salons, offset by the closures of 22 locations.
 Service comps were 4% lower in the quarter. Our fourth quarter North American service guest visits declined 360 basis points and average ticket was down 40 basis points.
 Supercuts continues to be our strongest performing group and posted positive service comp increases of 50 basis points in the quarter.
 Similar to our third quarter, Retail Product comps performed stronger than Service during the fourth quarter, although they did decline by 50 basis points.
 Let me highlight a couple of areas that performed well. MasterCuts enjoyed an increase in product same-store sales of 2.9%, while Regis Salons posted an increase of 1.3%. Fourth quarter royalties and fees from our North American franchise salons were up 2%, reaching $9.7 million.
 Our franchisees posted positive same-store sales during the quarter and we have added 104 new franchise locations this fiscal year, which is up 96% from the 53 units we opened in fiscal 2011. Our franchise development team has done an excellent job this year, and we remain encouraged by the increased growth in new franchise units and by the overall strong performance within our franchise system.
 Now let's take a look at our gross margins. Our combined gross margin rate of our North American salons came in at 43.7% and was 30 basis points lower than the rate we reported in the fourth quarter of fiscal 2011.
 Our fourth quarter service margin rate of 42.5% was essentially flat year-over-year or was impacted by higher-than-anticipated labor costs, especially in our Supercuts salons.
 As I mentioned last quarter, we are adjusting staffing models to try and increase sales at peak times. Results to date indicate that we can increase traffic by adding staff and we are working to optimize our staffing levels to achieve the desired impact.
 We have a major organizational initiative that is focused on salon scheduling and stylist productivity.
 All right, our Retail Product margin rate for the fourth quarter fiscal 2012 came in at 48.4%, that was 170 basis points lower than last year. In April, we installed the sales incentive program designed to motivate stylists to sell more products to their service customers. The success of the program has varied by division with MasterCuts results being the strongest.
 Overall increased product commissions accounted for about half of the 170 basis point decline in product margins. We'll continue to test this program in our first quarter and sales performance will determine if we'll continue this incentive program longer term.
 Also impacting our product margins in the fourth quarter were higher fuel costs and a shift in mix to promotional items, which are slightly lower margin.
 Fourth quarter expense levels in our North American site operating and G&A categories were both down over last year. Combined, we saw a year-over-year expense reduction of $2.6 million. For the entire year this expense categories were down over $12.2 million.
 We remain vigilant in controlling costs and increasing operating efficiencies. Fourth quarter cost declines were primarily the result of expense reductions in several areas such as supervisor travel, salaries, professional fees and many other smaller areas.
 Due to the reasons I just mentioned, as well as negative leveraging and rent expense from a 3.3% same-store sales decline, North American operating margin came in at 12.1% of sales, down from the 13.2% we reported 1 year ago.
 Let's now move on to our International Salon segment, which includes our company-owned salons located primarily in the United Kingdom. The retail environment in the U.K. remains challenging. Our store base -- our same-store sales in the fourth quarter declined 6.6%.
 This decrease in sales contributed to 130 basis point decline in service gross margins, stylist productivity was lower during the quarter, product margins were very strong as we have benefited from a favorable year end book to physical count and we also seized vendor participation in helping discount and move some slow moving inventory. 
 Overall, site operating G&A and rent expense categories declined year-over-year in terms of dollars, and that result was an increase in our operational operating margin of 110 basis points, coming in at 2.8% of sales. 
 As we announced in July, Regis has an agreement to sell Hair Club to Aderans for $163.5 million. Expect this transaction to close in the first or second quarter of fiscal 2013. Hair Club results are included in our fourth quarter and fiscal 2012 operational results. Beginning with the first quarter of fiscal 2013, Hair Club's financial results will be accounted for as discontinued operations. When the Hair Club transaction closes, we will be issuing pro forma financial statements that will recast historical results.
 Pro forma financial statements will cleanse Hair Club from continuing operations and will present the results in discontinued operations.
 For the quarter, revenues grew 4.3% in Hair Club to $390 -- to $39.3 million, essentially due to the positive same-store sales growth of 4.4%.
 Despite favorable leverage from the sales growth, Hair Club's operational operating margins declined 40 basis points during the quarter to 10.6% due primarily to higher supply cost for hair systems. Hair Club's EBITDA margin came in at 19%.
 Before I hand it back to Dan, let's take a look at some of the corporate line items on our balance sheet. As expected, our fourth quarter operational G&A expense came in at $27.3 million or 4.8% of consolidated revenue. This is a $6.9 million reduction and was 100 basis point improvement year-over-year. The majority of the improvement reflects our expense reduction initiatives. As Eric discussed, we continue to focus on being more effective and efficient in supporting our salon operations.
 Our fourth quarter operational tax rate came in much better than planned at 19.5% due to the release of certain income tax reserves.
 We continue to anticipate that the underlying rate going forward should be approximately 39%. Our balance sheet remains very strong. We have no borrowings under our $400 million revolving credit facility and no liquidity issues. We remain in good standing with all of our financial debt covenants. At June 30, total cash was $112 million and total debt was $288 million. Inventory levels at the end of the fourth quarter stood at $148 million, which was essentially flat to last year.
 Finally, I just wanted to remind everyone that in April, we announced that, effective with our upcoming first quarter fiscal 2013, we will no longer be issuing a same-store sales and revenue release in advance of our earnings release. Revenues and same-store sales will be reported together in the quarterly earnings release. All right, so that does it for the financial portion of the call. And now I'm going to turn the call back over to Dan for his closing remarks. 
Daniel Hanrahan: Thanks, Mark. Just a couple of comments before we open to questions. When I first got the call about this position, the fact that we are 90 years old and have the number of salons we do really struck me. There's a very solid foundation here. I believe we can build on it and I believe we can improve. As we move forward, we'll build a very focused strategy. And as Eric mentioned, that will be instrumental to our ongoing transformation. Key principles of that strategy include simplifying our operating models and leveraging our scale; developing a performance-driven culture; attracting, training and retaining the best stylists and improving the guest experience. I'm really excited about the experience part of our business, and I think it's critical that we outperform in this area. I'm pleased with the guest satisfaction initiatives that I've already seen in just a couple of weeks on the job. I'm making sure people are satisfied with the treatment they receive in the salons is critical to our success. I realize we have same-store challenges to overcome, but I'm confident we're going to figure this out. 
 In terms of short- and long-term financial expectations, it is very early in my tenure and the team is getting me up to speed quickly. Before we set expectations, I need time to evaluate the business model, the cost structure and the strategies. I have found no surprises in the underlying businesses and I have more confidence than ever that there is significant opportunity to improve and increase shareholder value. I appreciate your patience on this topic, but know that I share your sense of urgency. Operator, what we'd like to do now is answer any questions that the people on the call might have. 
Operator: [Operator Instructions] And our first question does come from the line of Lorraine Hutchinson with Bank of America. 
Paul Alexander: It's Paul Alexander for Lorraine. Could you guys talk about service comps and give us color on anything that could better help us understand the progress you're making there? Maybe anything like differences by brand or store format or region or differences between those stores that have had some of the new initiatives, like CRM, for longer versus those that don't have them yet or are just getting them. Give us anything to help us understand the efforts in terms of visitation and service comps and how that's going. 
Daniel Hanrahan: Yes. We -- in terms of service comps, we know that it's going to be a gradual improvement. Things aren't going to turn positive overnight. We expect things to continue to get better. We have seen -- in terms of CRM benefits, we've seen some lift in our test versus control. It's relatively -- when you look at the consolidated number, it's again at very initial stages of seeing some positive lift. So we have some enthusiasm there. Supercuts is obviously performing the best of our salon group and they have more components of our strategy in terms of -- when you look at their marketing spend, they spend 5% of their service sales of a robust training organization that provides a significant amount of training. So some of the elements that we're going to be rolling out in the future and focusing on are already in Supercuts and we can see the benefits in their business model sooner than some of our other concepts. 
Eric Bakken: This is Eric. To add to that, as we continue to focus on the guest experience, that's where we're really going to move the needle with respect to the service comp area and we also continue to see a more difficult environment in the malls than outside of the malls. 
Paul Alexander: Great. On that topic of differences in comps between different groups, you said -- I think I heard you say that North America franchises are posting positive comps. What are they doing differently? 
Daniel Hanrahan: Paul, it's Dan. Obviously, I'm the neophyte here and it's not something that's lost on me either. I noticed that, actually, before I joined the company, and clearly, there's opportunity, I think, for me to understand what is happening with our franchisees and why they're performing better. And I'm deeply into that already. I don't think I have the answer yet, but I've been spending time with franchisees and I'll continue to do that to tap into why they're doing better than our corporate stores and figure out what we can take from them and execute it here at Regis because I see the same thing you do. It looks like a big opportunity to me. 
Paul Alexander: All right. And just one last follow-up. Any commentary on the impact of J.C. Penney's haircut giveaway promotion? 
Daniel Hanrahan: That's an interesting question. I got a -- again, I'm the new guy. I got a lot of telephone calls from friends telling me that they had seen the free haircut and I don't know that we have any indication as to what it's done to our business yet, but it is something that I think there's opportunity for us to be very aware of what our competitor is doing and reacting to our competitors so that we don't lose business as a result of it. If anybody else wants to comment. I think it's just too early for us to see if the free haircuts have any impact on us. 
Operator: And our next question does come from the line of Erika Maschmeyer with Robert W. Baird. 
Erika Maschmeyer: Can you just talk a little bit and maybe give some examples that set out to you of areas where off the bat you see opportunity to make some improvements? 
Daniel Hanrahan: Sure. I came in here year with my eyes wide open. I knew that there was a great opportunity to improve. I knew what I was getting into and I think it's important to say that nothing that I've seen has surprised me or are scared me. I remain as enthusiastic about being here as I was when I was offered and accepted the job. Given my background in hospitality, I'm a firm believer that great, what I call, guest service can make an impact and we can change the experience in the salons and we can not only do a better job than we do today, understanding that in a lot of our salons, we do a terrific job. But that'll help bring people back and it'll help them recommending us to family and friends. So that's definitely an area I see. I agree with the comments Eric made, in today's day and age, we need to have a really strong CRM system, and we don't at this point. We've got  -- it's on the way. And I think the work that I've seen in that area is impressive, but it's going to take some time to get that into place. But I would say that those are 2 of the top. And then I think we need to make sure that we retain our best stylists. We have fairly large turnover here and we need to come up with plans so that the stylists stay and we can get some longevity out of them. And I think when you put all 3 of those together, it's really about providing a great experience for our guests so they come back again and again. But those are the things that I've seen in a little over 12 days. So I admit that it's early. I get haircuts, so I was able to -- during the recruiting process, I got more haircuts than I've ever had before. So I have been able to experience what it is that's offered. I just think that whole guest experience thing is a big opportunity for us. 
Erika Maschmeyer: That makes a lot of sense. Do you think that you'll start to be able to see the benefits from CRM in fiscal '13? Or is it something that we should think about as more of an impact in '14? 
Daniel Hanrahan: I think it's -- looking at what we really want to do with getting the right POS system rolled out, it's early for me to say, so I'd be guessing, but we're early, early stages with getting the POS system rolled out, which is really going to power -- give us the real power. There's been some good work done here on giving us the ability to gather e-mail addresses. So we should get some benefit out of that. But in terms of quantifying it, I'm going to plead, and you'll probably only let me do this on one call, I'm going to plead the new guy. And tell you that once I really get my arms wrapped around this and I can get more comfortable with where we want to take the business in terms of CRM experience, stylist retention, all those kind of things, I'll be much more forthcoming. I don't want to damage my credibility on the first call. 
Erika Maschmeyer: That is totally, totally fair. And then a question on Q4 and the better retail comp. I know that you said that the incentive program has had varying success among the divisions. Any other sense for kind of the better retail versus service comps? 
Eric Bakken: Yes, I mean, we saw -- again, like we saw on our Regis division, we've seen Moroccanoil, which is a little bit higher-end product line, has performed very well. And It's a 10 has performed very well across most of our brands, so we've got momentum mostly on new lines, but we've also seen some promotional activity do very well as well. 
Daniel Hanrahan: And then I would say we've also had a focus on making recommendations in the salon by our stylists, so I think that's helping to a degree as well. 
Erika Maschmeyer: Okay. So a lot of the same categories that have been strong along with potentially some benefit from the incentive programs? 
Daniel Hanrahan: Yes. Very similar story to the last quarter. 
Operator: And our next question does come from the line of Jeff Stein with Northcoast Research. 
Jeffrey Stein: Just a couple of quick questions here. First of all, the initiatives that you talked about, CRM, guest services, I mean, those are all great. But it sounds to me like those are really long-term initiatives and you're only 12 days into the job. Is there any low-hanging fruit that you see that perhaps might be able to move the needle sometime in the first half of this year? 
Daniel Hanrahan: Good question, Jeff. I'm sure there is. I'm sure there's probably some low-hanging fruit and I haven't completely discovered it yet. There's -- I'm forming hypotheses at this point. I need to be careful that I test those hypotheses and not move too fast. One thing that strikes me is that with the number of corporate stores we have and the ability to learn from our franchisees, is that we have an opportunity to test and measure, be very disciplined about the tests, measure them, and if it works, move quickly to roll it out. So that's the kind of thing I'll be looking for, to see if there is some low-hanging fruit that we can find as a result of tests. There are some tests that are in place when I joined that I would say, are giving us very, very early information. Nothing to extrapolate out yet. But I -- we will be doing -- adding a number of tests over the next few weeks, that hopefully when we get on the next call, we can start to talk a little bit more about what we're seeing as a result of those tests and move forward. But that's a big part of my focus. You're right. The things I talked about are long term, and we need to get in place that I think will help improve shareholder value. But we're -- I'm looking, believe me. I'm looking for some quick hits as well. 
Jeffrey Stein: Great. And just kind of curious if you think that either of your transactions, either Provalliance or Hair Club, could be jeopardized by global financial problems with international banks. Are these -- I think, in fact, I think Hair Club is not subject to financing, if I recall, but how about Provalliance? 
Daniel Hanrahan: I've seen no indications of that. But I'll ask Eric to comment as well. 
Eric Bakken: Yes, no. We haven't received any indications. I recognize what you're saying about the difficulties with the markets in Europe. But we have not received any indication that there's going to be difficulty in closing that transaction. 
Jeffrey Stein: Got it. And just in general, can you talk at all about any of the tests that you are currently running and whether or not any of them have yielded any positive indications that might result in a more extensive rollout in either the first or second quarter? 
Daniel Hanrahan: ;
 What I've seen so far in the tests that I've looked at is it's sort of like there's puts and takes. I mean, I've seen stuff that has worked, I've seen stuff that hasn't worked. I'd like to see a little more discipline around the testing than we have so that we can really carve out what it is that we should move forward with. Some of the things that are working, there's a number of different elements in the tests, so I'm not quite sure that I can understand exactly what it is that's driving the result, so we'll get a little more disciplined around those tests. And I'm reluctant at this time to say that there's anything that I would really want to sink my teeth into and roll out further. 
Operator: Our next question does come from the line of Bill Armstrong with CL King & Associates. 
William Armstrong: I was wondering if you could update us on your field restructuring efforts and what the timeline looks like going forward in terms of what sort of changes you want to make. 
Eric Bakken: Sure. It's Eric. We completed really the most significant phase of our field restructure in June and ended up reducing the field count via a little north of 100 in total and we're adding back individuals now into the areas that I discussed in both HR and corporate operations. And really most of those folks will come into HR and will be resident in the markets where salons are. So that process is ongoing right now and we expect to make significant progress in that area throughout fiscal '13. 
William Armstrong: When you say 100, 100 what? 
Eric Bakken: Individuals. Positions. Yes. 
William Armstrong: Okay. Is it like regional managers? 
Eric Bakken: Yes, we were structured -- previously, we refer to them as regional managers and area supervisors. Today, they're Regional Directors and District Leaders. And so the original folks that were in those positions, we trimmed that down and expanded -- expanded control and are taking away some of the responsibilities that they previously had and allowing them to be more focused on what's happening in the salon and improving the guest experience in the salon. That allowed -- that span of control increase allowed us to take some positions and individuals out of that structure and add back some resources that we need to help us staff the salons amongst other things. 
William Armstrong: Understood. On the Provalliance sale, I believe you will be receiving your proceeds in euros. Have you guys hedged against any further declines in euro? 
Eric Bakken: We have not. 
Operator: And our next question does come from the line of Jill Caruthers with Johnson Rice. 
Jill Caruthers: Could you talk about -- just a follow-up on that last question. I know you haven't quantified what you plan to do with the proceeds of the 2 sales, but you could talk in general terms of kind of the timing of that announcement and some options out there? 
Daniel Hanrahan: The --- I want to make sure that I understand it. The timing of the closing of the Provalliance deal or? 
Jill Caruthers: Timing of the announcement that you expect to make when -- with the proceeds. 
Daniel Hanrahan: I see. Again, I'm going to get to plead early days again. I could tell you that when I think about the cash that's coming in, my objective is to increase shareholder value. So what we do with the cash, it's early to say and also I'm just not ready to say that we're going to do any specific thing with the cash when we have it. But I can tell you that the long-term goal is to increase shareholder value. There's nothing here that's got me concerned. So I think what we need to do is just get a good strategy developed. I mean, there's some really good foundational things here and I think there's some things that we can improve on and we can get -- we'll get that figured out and then we'll decide the best use of that cash so that, at the end of the day, shareholder value increases. 
Jill Caruthers: Okay. And then just last question. Previous calls, in your strategy, you talked about cost reductions in the range of $35 million to $40 million in fiscal '12 and then an additional $10 million targeted for fiscal '13. Kind of wondering under the new management, how are you looking at that cost structure -- cost reduction plan and is that $10 million additional still kind of on the board for this upcoming fiscal year? 
Daniel Hanrahan: I'll let Mark start, and then I'll follow up after he's done. 
Mark Fosland: For fiscal '12, we had the $40 million of gross savings. We had about $15 million of investments, incremental investments this year. So about $25 million net, which is what we had targeted when we talked in January. As we look forward, we know that we're going to get some benefits from some of the home office reductions we did last January. We have targeted and I still feel good about the numbers we've talked about in the past. But as we start implementing our strategy, there's going to be some investments there as well. So a little bit hesitant to give you a net number right now, but there is more to come on the cost structure as well. One of the focus is to leverage scale. As Eric just mentioned, we've restructured our field organization. We think that, over time, we'll get more benefits of scale there as well. There's more to come, we just don't want to give you an exact number. 
Daniel Hanrahan: Yes. And I'd like to say that we'll be very disciplined around expense, as well as the way we spend money on capital. So whatever we do, it'll have to pay off. And so watching -- I come out of an industry where we watched -- because of the number of cruise days that we had, we watched pennies. And I want to do the same thing here. I want to make sure that we manage the expense side of our business very well. But what we're doing is -- our real goal here is to drive top line revenue growth. That's what we really need to do, but we'll watch the expense side very, very carefully. 
Operator: And our next question does come from the line of Jack Ripsteen with Potrero Capital. 
Unknown Analyst: Just curious, in the past, you've given guidance, I appreciate your management and whatnot. Is there any sort of broad brush next to your guidance you guys are putting out there with respect to EBITDA? 
Daniel Hanrahan: No, we're not doing that at this time. I'd really like to make sure I get a good handle on everything. I like I said, I haven't seen anything that scares me or makes me nervous about joining the company, but before we give guidance, I want to make sure that I've got a really good handle on things and so when I do it, I want to build credibility with all of you and I don't want to put myself in a position on the first call as to say something and then find out there's an investment we could make that would have a long-term impact and we need to make it and be out explaining why I didn't do what I said I did I was going to do on the first call. 
Unknown Analyst: Okay. And in terms of sharing -- I assume you've had the board meeting and set plans for next year, and barring some change or some investment, is there a timing where you think you could be back to us with your initial thoughts and plans as they pertain to the finances for this next year? 
Daniel Hanrahan: I would expect that when we come on the next earnings call, that I'll have a much, much better feel at that point. I don't think that -- you won't see us have an interim call to set guidance, but I would expect that at the next earnings call, I should be a lot smarter than I am today and be more comfortable talking about what I see going forward. 
Unknown Analyst: Okay. And at that point, given the ops and cash proceeds, can we assume there'll be some clarity on use of those proceeds from the sales? 
Daniel Hanrahan: I don't know the answer to that one yet. That's a good -- that's a fair question to ask. I'm not quite sure what we'll be saying on the call regarding that. Right now, my focus is on what I can do to get the business healthy and which, I believe, will help drive shareholder value. So I've got a clear message from the board that get the business healthy, drive shareholder value and so the strategy will be built around those objectives. As to whether or not we'll be specific about what we're going to do with the cash proceeds, I can't tell you that quite yet. 
Operator: At this time, there are no further questions. I would like to go ahead and turn the call back over to management for any closing comments. 
Daniel Hanrahan: Okay. Then I would just like to say thank you for joining us on the call today. We look forward to meeting all of you some time down the road. Got a lot of work to do here. So if you're going to let us go now, I'm going to get back after it. So I'll look forward to talk to all of you soon. And operator, thanks for your help with the call. 
Operator: Thank you. Ladies and gentlemen, if you do wish to access the replay for this call, you may do so by dialing 1 (800) 406-7325 with the access code of 4560118 followed by the pound sign. This concludes our conference for today. Thank you all for participating, and have a nice day. All parties may now disconnect.